Operator: Good afternoon. Thank you for participating on today's first quarter 2021 corporate update call for Barfresh Group. Joining us today is Barfresh Group's Founder and CEO, Riccardo Delle Coste. Following prepared remarks, we will open the call for your questions. The discussion today will include forward-looking statements. Except for historical information herein, matters set forth on this call are forward-looking within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995, including statements about the company's commercial progress, success of its strategic relationships and projections of future financial performance. These forward-looking statements are identified by the use of words such as grow, expand, anticipate, intend, estimate, believe, expect, plan, should, hypothetical, potential, forecast and project, continue, could, may, predict and will and variations of such words and similar expressions are intended to identify such forward-looking statements. All statements other than the statements of historical fact that address activities, events or developments that the company believes or anticipates, will or may occur in the future are forward-looking statements.
Riccardo Delle Coste: Thank you and good afternoon everyone. On the call today, I will review our first quarter 2021 results and accomplishments. Since our last earnings call was less than a month ago, I am going to provide a high-level review for accomplishments and spend more time on how we are performing in the second quarter. Now to discuss our first quarter 2021 starting with our financials. Revenue for the first quarter of 2021 increased 38% to $1 million, compared to $733,000 for the same period last year and a meaningful improvement compared to $835,000 for the first quarter of 2019. The increase in revenue is the result of increased orders for our Twist & Go product in the school channel as well as the gradual return in sales of our bulk and single serve products.
Operator: . Our first question is coming from the line of Anthony Vendetti with Maxim Group. Please proceed with your question.
John Kim: Good afternoon. This is John Kim from Maxim Group. I am speaking on behalf of Anthony Vendetti. I was just wondering if we can get a little bit more information on any new products in the pipeline and what this pipeline looks like regarding the potential approvals from districts to add the Twist & Go on to the school menu?
Riccardo Delle Coste: Yes. Sure. Hi. So in terms of new products, the Twist & Go products are really where we are focusing at the moment. We do have some flavor extensions. We have only rolled out two of the flavors at this time, the strawberry banana and the peach and we will be releasing here you very shortly actually, the mango pineapple SKU. In terms of the new schools and districts approving the product, we have got an enormous amount of school districts that we have been working with that we actually haven't been selling to yet today, but we received an enormous amount of approvals from different school districts in preparation for the new school year. And that includes going through the bidding process for the schools. So whilst we have been making good traction with the school districts to-date, even though it's on a limited basis, there is much more runway ahead of us based on already the customers that we have met with, presented to, tested, completed submissions for bids in preparation of being approved for the beginning of the new school year in the fall
John Kim: Okay. Wow, that actually sounds really great. So I guess a follow would be, aside from school districts, can we get more, I guess, an update on the progress with Twist & Go going to retail into the retail locations?
Riccardo Delle Coste: Yes. All I can say at this stage is that we are working on it. We do have the product. We are getting unbelievable feedback from our customers. We probably get an email or a phone call, if it's not everyday, it's every other day from parents looking for where they can buy Twist & Go for their kids because their kids have had it at school and absolutely love it. So some the educators and the teachers even let us know of individual stories with the kids where they absolutely love the product. So grocery is definitely on the cards. We are working on it. we don’t have an exact timeline yet.
John Kim: Okay. Yes. Thank you. I am looking forward to hearing more in the near term future. I will just put myself back in the queue.
Riccardo Delle Coste: Thanks.
Operator: . The next question comes from the line of William Gregozeski with Greenridge Global. Please proceed with your questions.
William Gregozeski: Hi Riccardo.
Riccardo Delle Coste: Hi. How are you doing?
William Gregozeski: Good. Are you guys seen any kind of supply chain or shipping issues or anything of that nature?
Riccardo Delle Coste: Are we seeing them? It's a bit hard not to. It’s a real issue at the moment. We did touch on that slightly in the call. We have been out of product for some of our SKUs as a result all supply shortages in the marketplace. And even with some of those shortages, we have still achieved the results that we have achieved. So there is just an enormous amount of turbulence in the market at the moment, as it relates to supply chain. So ingredient on the procurement side, there are a number of ingredient shortages and supply chain issues. Freight is a particular challenge at the moment in the marketplace where we are seeing elevated prices for freight and availability as well. And that’s not just us. That's a complete industry-wide situation that’s going on at the moment. But it looks like we have corrected all those issues that we have had and actually we have closed the gap on any 0 shortages now as well. So I think it's just more of a market reopening situation as it is related to the supply shortages on ingredients, et cetera. In some instances, even whole stuff to reformulate products due to not being able to get access to certain ingredients. So all that work is now being done and we are back on straightening it out, so to speak.
William Gregozeski: Okay. And you touched on like amusement parks and restaurants are starting to come back. Do you have a other sense for what that return might be like and what the amount of orders might be into those channels?
Riccardo Delle Coste: Yes. Look, it's really all over the place, to be honest. It really depends on the category of customer and then it depends on where they are located, because even state-by-state, as you know, there is different regulations in different parts of the country. So even though we might be doing well in certain amusement parks, it's only in the amusement parks that are in states that have opened up more, right. So it really is all over the place. We are probably still only at some way between the 15% and 35% at that across the board for the single serve and bulk products. So it's still really low in comparison to where we were. However, keeping in mind two things. One is a lot of our bulk products were going to schools, right, as well. And that will recommence in the fall in addition to our Twist & Go product because it won't be cannibalizing based on the day part that it's solving. And then secondly is, we are seeing an increase back in our military business and our single serve business as well. So it's definitely coming back and I feel that every month that goes on and actual fact, every week that goes on it's actually getting stronger by the week. So it is definitely exciting for what's around the corner. It is definitely increasing. But there is still a long way to go.
William Gregozeski: Okay. And then with the education channel, you mentioned you will start doing more of the bulk into the fall. Do you have a guess kind of at the end of this year where you think you will be in terms of product mix into the education channel?
Riccardo Delle Coste: The Twist & Go to definitely going to dominate, just by the approvals that we will we already received from school districts, the bids that we have been requested to be put on by the school districts in addition to the schools that we are already servicing, it's pretty significant. So we are looking to ramp up very significantly in Q3.
William Gregozeski: Okay. All right. Thanks.
Operator: . Thank you. At this time, we would like to thank everyone for their participation today. And this will conclude today's conference. You may disconnect your lines at this time. Have a wonderful day.